Operator: Greetings ladies and gentlemen and welcome to the Take-Two Interactive Software, Q3 2008 results. (Operator Instructions) It is now my pleasure to introduce your host, Ms. Cindy Buckwalter, Executive Vice President for Take-Two Interactive. Thank you, Ms. Buckwalter; you may begin.
Cindy Buckwalter: Welcome and thank you all for joining us for our third quarter conference call. Today’s call will be led by Strauss Zelnick, Chairman of Take-Two; Ben Feder, our CEO; and Lainie Goldstein, our CFO. Our team will be available to answer your questions during the Q&A session following our prepared remarks. Before we begin, I would first like to quickly review our Safe Harbor statement by reminding everyone that the statements made during this call that are not historical facts are considered forward-looking statements under Federal Securities Laws. These forward-looking statements are based on the beliefs of our management as well as assumptions made by and information currently available to us. We have no obligation to update these forward-looking statements. Actual operating results may vary significantly from these forward-looking statements based on a variety of factors, including the risks associated with our process to evaluate strategic alternatives. These important factors are described in our press release today and our filings with the SEC, including our 10-K for the fiscal year ended October 31, 2007 and our 10-Qs for the interim quarters of fiscal 2008. These documents may be obtained from our website at www.taketwogames.com. Now let me turn the call over to Strauss.
Strauss Zelnick: Thanks Cindy, good afternoon everyone, thanks for joining us. Take-Two’s third quarter results beat expectations by a wide margin. This clearly demonstrates that our company is in terrific shape and that we’re positioned to create even greater stockholder value in the future. We’re performing well in all aspects of our business creatively, operationally and financially. From a product perspective our industry leading creative teams are building an increasingly diverse portfolio of interactive entertainment brands that are massive winners with consumers. Our strong third quarter performance was driven by a broad range of [inaudible] from our powerhouse Grand Theft Auto to Civilization to newer brands like Carnival Games, as well as our sports titles led by Top Spin 3 and Major League Baseball 2K8. In an industry where strong contact is a critical determinant of success, we have an increasingly formidable advantage. Operationally our ongoing efforts to drive increased efficiency have gained significant traction over the past 16 months. We have now implemented all of our previously announced cost saving measures and will reap the benefits of these initiatives going forward both in terms of higher productivity and the ability to reinvest the savings to grow our business. On the financial front our third quarter results continued the trend of dramatic performance improvements that we consistently delivered throughout this fiscal year. Our top line revenue and non-GAAP EPS results once again outperformed our guidance and exceeded even the most optimistic analyst estimates. Before I turn the call over to Benjamin I’d like to give you a brief update on our strategic review process. As you know Electronic Arts agreed to a presentation by our management team consistent with our process following the expiration of their [inaudible] tender offer. At the same time we’re actively continuing our other formal discussions as we previously disclosed. Our Board and management team have at all times conducted this process and its deliberate focus and reasoned manner with the goal of pursing the task that will create the greatest possible values for our stockholders. We’ll continue to do so. Now Benjamin will discuss the third quarter results in more detail and provide us with additional detail on our creative and operational progress.
Benjamin Feder : Thanks Strauss, our third quarter results were in a word fantastic. This marks the fifth quarter in a row that we’ve beaten our own guidance as well as consensus expectations. Strauss and I have urged our team to remain focused on the business despite the considerable potential for distraction and their ability to do so is reflected in our strong performance. Net revenue for the quarter was $434 million, more than double the $206 million we reported in Q 3 last year. Earnings on a non-GAAP basis were $0.93 per share compared with a net loss one year ago and also were sharply higher then consensus. The quarter’s results were driven by better then expected performance of Grand Theft Auto IV which shipped in Q2 and also our newly released titles Top Spin 3, Sid Meier’s Civilization Revolution which both shipped in the third quarter. Our strong performance is reflected in our increased cash position. We had nearly $339 million in cash at the end of the quarter, well over $4.00 per share and paid off the balance owed on our credit line. To be clear, the company is debt free. I’d like to expand on Strauss’ point about our creative performance. Thanks to the efforts of nearly 1,400 development team members worldwide and a disciplined product investment review process, we now have the strongest and most diverse portfolio in Take-Two’s history. Both Rockstar and 2K contributed to this quarter’s outstanding performance and the proven franchises of Grand Theft Auto, Civilization, Carnival Games, Top Spin, and Major League Baseball were powerful revenue generators. Grand Theft Auto IV is once again the largest single contributor to revenue in the quarter. We have continued to see increases in sell-through which rose by approximately 1.5 million units since we last spoke to you in June. We expect that the continued growth of GTA IV sales will be driven by several factors. First Rockstar is launching a new marketing and PR campaign which will start in the fall and extend into the holiday season. Also as a must-have game for all fans of interactive entertainment, GTA IV we believe should receive a boost from the ramp up in hardware sales during the upcoming holiday season. In addition our hardware partners continue to be excited about the title and are planning to support GTA IV in a major way through early next year. The Japanese version of Grand Theft Auto IV is set for release on October 30th and the PC version is due out in November, both of which will open new chapters in the phenomenal performance of the game. A new GTA title, Grand Theft Auto Chinatown Wars, will be released for the Nintendo DS platform in Q1 of fiscal 2009 combining the world’s largest interactive entertainment franchise and the world’s largest installed base. Finally the release of episodic contents for Xbox 360 in fiscal 2009 will further energize sales of the original GTA IV. The Grand Theft Auto franchise has extremely long legs; Grand Theft Auto San Andreas sold about 12 million units in the first four months alone following launch and then approximately 11 million units over the next three years for a lifetime total sales of nearly 23 million units. In fact more than one million units of previous GTA titles were sold in the third quarter of fiscal 2008 alone. Based on GTA IV sales to date, and the factors that I just mentioned, we believe the lifetime Grand Theft Auto sales will ultimately track well ahead of any previous Grand Theft Auto titles. Our creative teams have shown tremendous ingenuity in maximizing the value of our AAA franchises by extending hit titles to new platforms and new regions, specifically BioShock will make its debut on PS3 in October with all new contents that will attract new audiences to the smash hit franchise. We recently launched Carnival Games for DS where it’s been a solid hit building on its earlier success on the Wii. We are pleased to announce that sales of Carnival Games on Wii and DS have topped two million units to date. In June we announced plans to bring NHL 2K9 to the Wii making it the first NHL licensed hockey game on that platform and our experience with Sid Meier’s Civilization Revolution is a striking example of our ability to raise the value of our intellectual property to new levels. Sid Meier’s Firaxis team took a franchise that was originally built around the PC and transformed it into a breathtaking console and handheld title. We’re so proud of that achievement that I want to pause for a moment and quote from a story from the New York Times on the title, which quoted, “Mr. Meier and his team at Firaxis Game with the support from Take-Two, has succeeded in translating the classic elements of Civilization series into a form that performs gloriously in living rooms on the Xbox 360 and Playstation 3 and even in handheld form on the Nintendo DS.” That’s a fantastic endorsement and we’re really, really proud of it. On the topic of new creative properties, we’ve announced the partnership with Cryptic Studios for their Massively Multiplayer Online Title Champions Online. This is our first venture into the MMOG field and reflects a toehold into the broadband world which we see as a very important strategic initiative. I’d also like to mention our recent deployment of Gary Dale as Chief Operating Officer. Gary has played many valuable roles of the company and is highly experienced in publishing, global markets, sales and distribution, all of which are critically important to enhancing the value of our business. This is another example of our determination to operate the company as effectively, as productively as possible and even as we explore strategic alternatives. We’re approaching the upcoming holiday season and the balance of this fiscal year with great confidence and enthusiasm. The titles that have powered our growth throughout this year should be on many shopping lists this season and we also have many strong new titles including Midnight Club: Los Angeles; the PS3 version of BioShock; the Japanese and PC versions of GTA IV; Grand Theft Auto: Chinatown Wars for DS; our NBA 2K9 and NHL 2K9 titles; Carnival Games Mini Golf for Wii; Sid Meier’s Civilization IV: Colonization; as well as an assortment of Nickelodeon titles. At this time we’re in the process of finalizing our fiscal 2009 release schedule and will provide an outlook for the full year when we’ve completed this vital component our budgeting process. We believe that our success in building a diverse portfolio of AAA titles while improving our operations and strengthening our financial position has given the company a solid platform for profitable growth. We are delivering on our pledge to make Take-Two the most creative, the most innovative and the most efficient company in the industry and we look forward to further accomplishments in the future. With that I thank you and I’ll turn the call over to Lainie.
Lainie Goldstein : Thanks Benjamin and good afternoon everyone. Today I’ll review our third quarter results which were terrific. To detail our outlook for the balance of fiscal 2008, let’s look at our Q3 results. Net revenue was $434 million compared with $206 million a year ago. Non-GAAP net income was $71.5 million compared to a non-GAAP net loss of $44.9 million last year with earnings per share of $0.93 compared to a loss of $0.62 last year. Please see today’s press release for a reconciliation of our non-GAAP to GAAP numbers. We are pleased that we exceeded our guidance for the fifth quarter in a row. Sales of Grand Theft Auto IV topped [Sin 3] and Sid Meier’s Civilization Revolution also passed our expectations and were the primary drivers of our better then expected performance. Our GAAP results for the third quarter were net income of approximately $51.8 million or $0.67 per share compared with a net loss of $58.5 million or $0.81 per share in the third quarter of 2007. Our GAAP results included $12.6 million in stock based compensation expense, and a total of $7.2 million of professional fees and legal expenses related to unusual matters as well as business reorganization costs. Our leading title in Q3 was Grand Theft Auto IV which continued to perform extremely well. Other top titles in the quarter were Top Spin 3, Civilization Revolution, and Carnival Games. [Jack of All Games] business also grew led by strong [current] generation software sales specifically for the Wii and Playstation 3 and increased Xbox 360 and Playstation 3 hardware sales. And looking at our consolidated results our non-GAAP gross margin for the quarter was 41% compared to 19% last year. This is primarily due to our revenue mix as publishing was 88% if total revenue and our top three titles in the quarter are all high margins internally owned and developed titles and were a significant percentage of publishing revenue. Our split between North America and international revenue was 54% to 46% in Q3 compared to 78% to 22% in Q3 last year. Excluding our sports and distribution businesses, North America international revenues split for the trailing 12 months was about 55% to 45%. Non-GAAP operating expenses in the third quarter were approximately $99 million, up from last year’s third quarter for the following reasons. Sales and marketing expenses accounted for the largest increase primarily due to advertising for Grand Theft Auto IV. R&D expenses increased as a result of lower software capitalization rates following the release of Grand Theft Auto IV. We also continued to invest in our development studios including the three additional studios we’ve opened or acquired this year; 2K [Chek], 2K [Moran] and Rockstar New England. Also G&A expenses increased compared to last year due primarily to increased incentive compensation and professional fees and the G&A costs related to our three new development studios and our newly established Asian operation. These increases were partially offset by approximately $2 million of cost savings initiatives. Our tax expenses primarily for our earnings in international territories. Moving on to our balance sheet at the end of Q3 we had over $338 million in cash or approximately $4.37 per share. During the quarter we paid down $18 million on our line of credit and we currently have no borrowings. Our accounts receivable reserve is about $58 million at the end of the quarter which represents an approximately 35% of gross receivables. Inventories at the end of the quarter were approximately $72 million, down slightly from this time last year. The increase in our software development costs and licenses from year end is primarily related to key titles planned for release over the next 12 to 18 months. We currently have approximately 35 titles in various stages of development. Now to our outlook for the balance of fiscal 2008, we are raising our fiscal 2008 guidance to reflect a better then expected performance in Q3. We now expect $1.5 billion to $1.55 billion in revenue and $2.08 to $2.12 in earnings per share on a non-GAAP basis. This excludes stock based compensation expense of $0.59 per share and expenses related to unusual matters and new organization costs of $0.21 per share. For Q4 we are revising our guidance slightly to reflect the following factors. The movement of Midnight Club: Los Angeles, to late October which we believe is a more favorable market window for the title. While the title is still shipping in Q4 we will be capturing only about a week of sales in the quarter. We also moved the DS and Wii versions of Don King Presents: Prizefighter along with the 360 platform for certain international territories from the fourth quarter to fiscal 2009 to allow additional development time. Additionally since the sales line for Grand Theft Auto IV is already substantially ahead of our expectations year-to-date we are maintaining a conservative outlook for Q4. For Q4 we expect non-GAAP net income per share in the range of $0.01 to $0.05 on $285 million to $335 million in revenue. This excludes stock based compensation expense of $0.18 per share and expenses related to unusual matters and reorganization costs of $0.03 per share. For Q4 our remaining queue releases are Midnight Club: Los Angeles, BioShock for Playstation 3, NBA 2K9, NHL 2K9, Sid Meier’s Civilization IV: Colonization, and Carnival Games: Mini Golf for the Wii. Our Q4 releases are more broadly distributed among the labels and include our licensed NBA and NHL titles. We expect gross profit margins to decrease to the low 30s in this quarter. On a non-GAAP basis we expect overall operating expenses to trend up in Q4 as compared to Q3 primarily for the following reasons. Selling and marketing expenses are increasing significantly driven by higher marketing spend for Grand Theft Auto IV, the release of Midnight Club: Los Angeles, as well as the launch of our key sports and other 2K titles. We also expect R&D expense to increase from Q3 as we continue to invest in our studios. Looking ahead we’re building a strong lineup for fiscal 2009. Ben already mentioned our holiday titles and in addition to those releases we’ll have sequels to some of Rockstar’s AAA brands. 2K’s key AAA titles will include Borderland, Mafia 2, BioShock 2, Champions Online, and a full roster of sports titles. 2K play will publish additional Nick Junior products. We’ll be expanding our downloadable content business as well as the revenue streams and expect to see growth in the Asia Pacific market as the result of our entry into that region. Fiscal 2009 will also reflect the first full year of our cost savings initiatives. We’re optimistic about our future and the opportunities to further build stockholder value. Now I’ll turn the call back over to Strauss.
Strauss Zelnick : Thanks Lainie, fiscal 2008 continues to be a transformative year for Take-Two. We have broadened our portfolio with truly creative and innovative products, we’ve streamlined and strengthened our operations while adding to the depth of our management talent and we’ve demonstrated our ability to consistently deliver outstanding financial results. We continue to work diligently to translate these accomplishments into increased stockholder value as we move ahead. We will now take your questions.
Operator: (Operator Instructions) Your first question comes from the line of Anthony Gikas - Piper Jaffray
Anthony Gikas - Piper Jaffray: Could you give us a quick comment on the inventory levels of Grand Theft Auto IV at retail, are you expecting, it sounds like your guidance might be implying fewer shipments in the fourth quarter then maybe we were expecting and could you just outline your view of where the upside was in the quarter, there was a considerable disconnect on the EPS relative to your guidance and where was the upside relative to your expectations or guidance?
Strauss Zelnick : I think the upside was really across several titles, GTA IV obviously outperformed but Top Spin 3 outperformed especially well in Europe. Carnival Games turned out to be the gift that keeps on giving and since we launched the [inaudible] it’s only improved the value of the franchise in sales of that franchise. Civilization Revolution also outperformed so I think if you look at our release schedule just about all of our titles have outperformed expectations and so I wouldn’t hang too much on GTA IV although obviously that contributed a lot to what’s going on. And then finally you also have to look at our cost savings initiatives, I think while we’ll take some cost savings and reinvest it in other parts of the business overall I think we’re operating much more efficiently then we were certainly a year ago and those benefits benefited us during the quarter so all of those factors together contributed to the outperformance of the quarter and obviously we’re very proud of our performance. With respect to inventory levels, we don’t disclose inventory levels in the channel. I know there are those that do channel checks, and you can probably get it that way, but we don’t, we’re comfortable where our inventory levels are and we’re comfortable that going into the fall and holiday season that sales of GTA IV will pick up.
Operator: Your next question comes from the line of Mike Hickey - Janco Partners
Mike Hickey - Janco Partners: Just done some quick math, but it looks like based on the mid point of your new guidance your stock is trading at about 11x, you stripped $440 in cash and trending about 9x, that compares to a market of about 14x in a group, trading on 21x, you ex out yourself, it trading about 24x, so what do you do to get a more adequate multiple for the economics you’re generating and do you think at some level the expired tender from EA is creating a cap to your stock price?
Strauss Zelnick : We really do focus on our [knitting] and it is our belief that’s ultimately markets really do reflect reality and I’ve spoken about this before, the company has a history of having some inconsistency in its results and while when you have the biggest title in the industry and a huge title here you can always expect volatility and of course any [inaudible] has volatility in it. We said we feel it’s really incumbent upon us to build a company that can be profitable year in year out and I don’t think it’s inappropriate for investors to say, this is great performance and we want to see more of it. So our view is we focus on what we can control which is we’re trying to make and our creative people are trying to make the best products anyone makes in the interactive entertainment business. We’re trying to cover a wide array of genres. We’re trying to distribute them better then anyone else all around the world, ourselves, we’re trying to open new territories and open new channels for our products and make this the most compelling place in the entertainment industry today to work. If we achieve all that the results follow and if the results follow the market follows the results. As for the technical calculations, we are all entitled to our own views but we’re not here to argue about what the market says about us. We figure if we keep delivering the market will be there.
Benjamin Feder : I want to make the point about what’s gone on in the last five quarters here, yes we are in a volatile business and you will expect to see volatility quarter to quarter so we don’t apologize for that because of the nature of the business on the one hand. On the other hand this company has performed and outperformed five quarters in a row so it’s not just what the bottom line is this quarter its consistent performance that is what we aim for. Yes there’ll be volatility from quarter to quarter but these are the kind of results that are new to this company frankly and we’re quite proud of them.
Operator: Your next question comes from the line of Daniel Ernst - Hudson Square Research
Daniel Ernst - Hudson Square Research: Looking at the benefits you hope to reap from the restructuring efforts specifically on sports since you’ve consolidated some of the studios in the sports franchise which arguably effected quality over some of the titles, do you expect to have a turnaround and reap the benefits in that consolidation both in terms of quality and margins next year or could you see some incremental benefits would be more linear rather then a stair step as you launch the next round of sport sales next year and then on the GTA Chinatown for the DS now that that is in the works you’re working with Nintendo more and more, any opportunities to bring the franchise to the Wii?
Benjamin Feder : With respect to the sports titles, let me be clear, there are some titles that are quite profitable and some titles that are less profitable. The ones that are less profitable tend to be volume dependant which is to say as the installed base grows we expect those to get more profitable and we expect that the install base will grow this Christmas. We are very bullish on this Christmas and Microsoft’s price cut recently I think will help that as well. As to your question about margin we expect certainly to improve. The question about quality will also I believe will improve. We have the team onboard is committed to a highly competitive product for next year. We’ve had lots of internal discussions about it. We’re confident that we’ll deliver a product that’s AAA and is everything that we and the market expect from 2K and [BC] so we’re quite bullish on the sports business understanding the challenges and the structural challenges that we all know are embedded in the business. With respect to GTA Chinatown I will tell you that we’ve spent an enormous amount of time and effort working with Nintendo and developing that partnership. We’re very proud of the partnership that we have to date. We continue to build that relationship. We think we have significant value to add to that partnership and that’s not a one-way relationship in any way. GTA Chinatown Wars is not even the first step but certainly an important step in continuing to develop that relationship. So without commenting on whether GTA specifically whether it is coming to the Wii or not, I will say that Nintendo and Take-Two work very well together. Nintendo and Rockstar are beginning to work well together and we intend to continue to grow that relationship.
Operator: Your next question comes from the line of Benjamin Schachter - UBS
Benjamin Schachter – UBS: Can you just confirm have you actually had the review with EA or is that still being scheduled? Going forward when you’re starting to think about your FY09 budgeting process do you think about it as including Rockstar and what would be the magnitude of how those numbers would change if the Rockstar contract were not to be renewed? Could you talk about any new models or new things you’re thinking about for the sports business?
Strauss Zelnick : We’ve disclosed actually that we’re an NDA vis-a-vie Electronic Arts and there’s nothing else we can say. In terms of your question about our budgeting process, which is a headline for the question about the Rockstar contract negotiations, first of all we never talk about our discussions with individual employees and we never have. I think the answer is we look at this enterprise based on the budgets that are submitted and we want to make sure we’re really comfortable with them going forward and its not related to any individual contract discussions.
Benjamin Feder : We’re not restructuring the sports business in any way. We think we have the best sports development team on the planet and we have them on, they’re working on some of the more challenging sports titles that we have and so the issues that we have in sports to be clear again, are related to specific areas in the sports business not the entire sports business and in those specific areas the one driver that will improve profitability is the installed base and the size of the market and that in some ways is out of our control.
Benjamin Schachter – UBS: The question on sports was more if you could elaborate on any new models in terms of online subscribers’ models, those kinds of things going forward?
Benjamin Feder : We are looking at them, and some of them quite seriously, but I have nothing to announce today.
Operator: Your next question comes from the line of Doug Creutz - Cowen & Company
Doug Creutz - Cowen & Company: It looks to me like your international numbers have been quite a bit stronger then maybe you had expected at the beginning of the year, can you comment on whether this is primarily a currency effect, is it a function of better unit sales in international markets then you’d expected or something else.
Strauss Zelnick : Traditionally if you net out our sports business which tends to be a domestic business, the number that you see for the quarter are consistent with what that would look like when you net out sports and so what happened in Q3 because GTA is so large, and because of the summer, the size of the sports business over the share of the total business is diminished and so you begin to see a more normalized international versus domestic breakout.
Benjamin Feder : That said we remain focused on building up our international business and making it a bigger percentage.
Strauss Zelnick : We haven’t talked a lot about our Asian expansion; we have great hopes for it. We’re making a lot of progress and we expect to continue to see progress on the Asian front.
Doug Creutz - Cowen & Company: Could you also confirm it sounded like you were implying this, but is GTA Chinatown Wars scheduled to launch before Christmas.
Benjamin Feder : No we didn’t say that and we’re not implying that.
Operator: Your next question comes from the line of Edward Williams - BMO Capital Markets
Edward Williams - BMO Capital Markets: Looking more towards next year, can you give us an idea as to what the economics will be for the GTA downloadable content at this point? Looking at the Cryptic relationship, are you going to share on the subscription side or is that more the distribution and the concerned packaged goods component? And then what are your thoughts with regards to the MMO space, with regards to Take-Two owned properties and then can you just give us an idea as to what the NOL is at this point?
Lainie Goldstein : For the episodic content question we have not determined the pricing at this time so we don’t have that information for you but we could tell you that we will be pairing our revenue with capitalized software amortization, our internal royalty’s expense and any associated marketing expense for the title. We haven’t disclosed our NOLs on a quarterly basis to date, but you can get a rough estimate by looking at the year end balance in our 10-K and then adjusting it by our nine month cumulative change in our valuation allowance and you can see that, it’ll be disclosed in our third quarter 10-Q that’s scheduled to be filed by tomorrow.
Benjamin Feder : With respect to online and Cryptic specifically, you can imagine the deal with Cryptic is again under confidentiality, we’re not prepared to disclose anything about the economics and any share if any of subscription revenue as opposed to boxed revenue but I will say that we are pleased with the economics of the business, we’re pleased with Cryptic as a partner and we have great hopes and expectations for the title. With respect to MMO and Take-Two owned properties, I think we’ve said publically and certainly privately that the way we think to get into Asia specifically MMO markets is to use our Take-Two owned properties and to partner so that we mitigate the risk and that is our stated strategy. We don’t have anything specifically to announce. I would also say that Cryptic should give you an indication that where we’re seeing opportunity we’ll be opportunistic. We intend to gain institutional knowledge on the MMO market. We think broadband is an important strategic initiative for this company as well as for every company in the industry and any chance that we get to learn and increase our presence profitably we’ll take that opportunity. That said we know that we have one of the strongest IP portfolios in the business. We know we’re the envy of many companies, especially in Asia and we will use those brands and very carefully judicially so that we take maximum advantage of them.
Operator: Your next question comes from the line of Eric Handler - Lehman Brothers
Eric Handler - Lehman Brothers: When you look at the lineup of titles coming out in October, and obviously October is always very crowded, but it actually seems the October 7th release date you had there’s a lot fewer titles in the mix coming out that week relative to the 14th and the 21st, so could you give color around what you saw that you so desired to push the game back two weeks and then given how strong earnings are for this year, I know you’re working on your budgets, but directionally speaking is this the high water mark for earnings until GTA V comes out?
Strauss Zelnick : We’re going to talk about our guidance when we have it ready. We try very hard to be conservative and realistic. One of the burdens of having beaten our guidance is that people begin to think that you’re always going to beat your guidance and we try to emphasize our goal really is to guide realistically and there’s a lot of emphasis on that now and that’s what we’re waiting for. I wouldn’t arrive at any conclusions yet and we’ll tell you when we know more.
Benjamin Feder : With respect to Midnight Club and your question, I think the folks around here will tell you the number one thing that we’re concerned about all the time is what’s the best thing for the titles. When we look at release dates the answer is always what’s the best thing for the title. Your point about the competitive environment is well taken, but on balance considering all the other aspects that go into the launch of a game, on balance we felt that the right thing to do was to move the release date. We don’t think it’s a big deal and we don’t think it will affect sales one way or another given that release. We want to make sure the title is absolutely ready to go and it’s the best that it can be. I’ll tell you that I saw a build of it today and it looks absolutely awesome.
Operator: Your next question comes from the line of John Taylor – Arcadia Investment Corporation
John Taylor – Arcadia Investment Corporation: Could you give us a sense of what the catalogue was as a percent of published revenue in the third quarter?
Lainie Goldstein : It was 13% this quarter.
John Taylor – Arcadia Investment Corporation: Specifically what was the GTA franchise as a percent of total published revenue?
Lainie Goldstein : The entire franchise was approximately 60%.
John Taylor – Arcadia Investment Corporation: You mentioned something about the sales and marketing budget going up to support GTA IV ongoing, is there a way you could characterize for us how you’re going to pace yourself through the total budget, the advertising budget, of GTA IV this year, what percent has been spent already and what percent has been reserved for the holiday timeframe and maybe even put that in the context of your comment about San Andreas doing X number of units in its first year and then why in its second year and how the promotional strategy helps drive demand over the long haul?
Lainie Goldstein : We don’t really provide that level of detail on a title by title basis but I can tell you that we definitely looked at the Christmas season as an opportunity to get back out there and really market the title for new owners of the hardware as they’re buying it during the Christmas season. So we definitely looked at the different timing for us for launching this title in April and then what the marketing would look at different times during the year for the title.
John Taylor – Arcadia Investment Corporation: Can you give us a sense of whether we’re closer to 50/50, or 70/30 or 80/20 in terms of how much has been reserved for holiday?
Lainie Goldstein : No I can’t really share that, I’m sorry.
John Taylor – Arcadia Investment Corporation: Of the titles basically scheduled for November and October release are they all pretty much simultaneously releasing across all platforms, have you got all the SKUs together?
Benjamin Feder : Pretty much.
John Taylor – Arcadia Investment Corporation: So if we see a little bit of variance a week or two, we shouldn’t draw too much into that?
Benjamin Feder : No.
Operator: Your final question is a follow-up from the line of Mike Hickey - Janco Partners
Mike Hickey - Janco Partners: Just curious on the theatrical side obviously BioShock I think for a couple of years out but you have Max Payne is coming out in October, I believe you own that IP, are you set to generate any sort of economics from the net receipts of that movie at the box office and if you could walk us through a generic model on how that works and them maybe philosophically how you see that as an element of your business moving forward?
Strauss Zelnick : As it happens Max Payne is a split rights deal and we don’t share meaningfully in the motion picture’s economics so it’s not actually a good model going forward. Our model going forward is that of owning our own intellectual property as you know and trying to make the biggest hits we can in the interactive entertainment space and then very selectively when it makes creative sense for the product when it will enhance the quality of the brand and when we have sufficient creative control to mitigate the risk, there are a lot of ifs built in there, we’ll selectively look at other markets and other media. The reason that we were willing to turn BioShock into a movie is because we’re able to align ourselves with an A plus creative team, [Gord Rubinski and John Logan] and an A plus studio, Universal Pictures, with a burning desire to make a movie that will stand on its own and be terrific and that’s what we think is going to happen and we feel terrifically good about it. What we’re not going to do is make empty announcements about development deals that don’t lead to motion pictures and what we’re certainly not going to do is compromise the quality of the extraordinary work our creative people do or in any way diminish their creative enterprise or motivation by treating interactive entertainment properties like Reece’s Cups, as much as I love a good Reece’s Cup now and then. That’s the focus; we’re going to be awfully selective. Additionally and it has to be said because we are in the business of business as well, when we do take something to another medium we expect to be able to make a whole lot of money doing it. But this is all in the future now, it’s not in our numbers currently so stay tuned.
Mike Hickey - Janco Partners: On the downloadable content for GTA IV and how we think about your efforts in trying to remarket that game to the holiday period, is there a reason why strategically it would make sense to have the first downloadable release after the holiday period?
Strauss Zelnick : I think Ben answered it well before which is we really are focused on making extraordinary entertainment around here and we’re not cavalier at all about our need and desire to manage a company that is routinely profitable because we’re in a growth business with good economics. That said, when you start getting into individual release dates you’re always going to get the same answer which is we are driven primarily with making the best products out and its not just a creative desire, it’s the right thing for business too because as this business matures, and you know how much investment is going on out there, you know how robust a business is, you know how much attention it gets, as a business matures a lot of people start throwing stuff against the wall to see what sticks. Since we got here, we’ve diversified a product base but we said we would focus on a selective number of superb titles across all genres and that’s our goal. So think about it, we’re now taking our number one franchise, and the industry’s number one franchise and we’re delving into an unchartered area which is episodic content. We need to make sure that consumers are absolutely thrilled and delighted by what they see and if it needs to be said, we and the Rockstar team see exactly eye to eye on this as we do on nearly everything.
Operator: There are no further questions at this time; I would like to turn it back to management for any additional or closing remarks.
Strauss Zelnick : Thanks so much. It’s always a pleasure to share good news and thanks for joining us.
Benjamin Feder : I do want; it’s been such a spectacular quarter I really do want to thank the team at Take-Two and our studios and at corporate. None of it could have been done without the extraordinary efforts of the very talented people in this organization in a period of time where we could have been completely distracted, everybody kept their head down and delivered some fine results for the company. I’m very proud of their work and I just wanted to mention them on the call. Thank you very much.